Thomas Lister: Thank you, Tom, and good morning, afternoon, or evening to all of you joining us today. I'll pass the call over to George. Global Ship Lease's focus continues to be on optionality. As geopolitical and trade policy uncertainty continue to be a major factor throughout the third quarter.
George Youroukos: As we have seen in recent weeks with the IMO Net Zero framework, USTR, and China port fees, all of which were deferred at the eleventh hour or later, even policies that are proposed without even fully coming into effect are having far-reaching real-world implications. All of these real and potential factors are contributing to two major effects, both of which play to our advantage. Number one, making supply chains less efficient, which means that more ships are needed to transport a given quantity of cargo. Number two, increasing the value of flexible midsize and smaller container ships, such as those in our fleet. Now, on the IMO deferment, this occurs particularly to the benefit of older conventionally fueled vessels that are now likely to have a longer economic life. Taken together with aggregate growth in global containerized trade, these factors are contributing to a situation where there's essentially zero idle capacity for the vessel size segments in which we operate. Thus, we continue to see strong interest in chartering our vessels, typically on a multiyear basis. Through the first nine months of 2025, we added $778 million in contracted revenues with full contract coverage for the remainder of 2025, 96% coverage for 2026, and 74% coverage for 2027. This offers us stability and certainty at a time where both are generally in short supply. Our progress in securing additional charter coverage, adding to our revenue backlog, and fortifying our balance sheet has enabled us to achieve strong credit ratings across the board, including an investment-grade rating on our U.S. private placement notes. These same factors, notably including a clutch of recently agreed long-term charters, have put us in a position to once again increase our supplemental dividend, bringing our overall dividend to $2.5 per share on an annualized basis. That's a 19% increase being announced today. But if you look at where our dividend was just over a year ago, which was $1.50 annualized, the total increase is 67%, all done on a non-speculative basis on the back of real contracted revenues and without compromising our ability to establish a fortress balance sheet and position Global Ship Lease, Inc. for opportunistic fleet renewal at the right time. With everything going on in the world, both Global Ship Lease, Inc. and our customers are acutely aware that many of our assumptions and understandings can be turned upside down one second to the next. In this environment, we are simultaneously locking in the high value and forward visibility that comes from time charter contracts with top-tier global liners while also making sure that we have the strategic and financial flexibility to respond to the challenges and the opportunities of a fast-changing world and a cyclical industry. In this way, we are maximizing Global Ship Lease, Inc.'s optionality and putting ourselves in the position to protect and generate shareholder value no matter what is waiting around the corner. Now with that, I will turn the call over to Tom.
Thomas Lister: Thank you, George. Hello again, everyone. And please turn to Slide five to see our diversified charter portfolio. As of September 30, we have over $1.9 billion in forward contracted revenues, with 2.5 years of remaining contract cover. Through the first nine months of 2025, we added 38 charters, including extension options exercised for almost $780 million in contracted revenues, of which about $380 million were added in the third quarter. Slide six is where we discuss our dynamic capital allocation policy. With the inherent cyclicality of our industry, we consider it essential to look at the big picture in order to remain on the front foot, manage risk, and capitalize on opportunities as they arise. As George mentioned, this has only become more important in the current environment. Optionality remains key as we navigate this environment and tackle our priorities. Among other things, these include returning capital to our shareholders through our just upsized $2.5 per share annualized dividend and strengthening our balance sheet. To that end, we've continued to delever to grow equity value and to increase our financial resilience and cash reserves to manage the various geopolitical challenges and uncertainties that confront the industry with growing frequency. And, of course, we need cash on hand to cover CapEx requirements and to seize the right investment opportunities as and when they arise, especially as we've observed on various occasions because the best such opportunities tend to crop up when capital is otherwise scarce. We're proud to have made Global Ship Lease, Inc. a stable and liquid platform that allows investors to participate in the industry with us managing and mitigating the risks of the down cycle and negative volatility while maximizing access to super returns in the up cycle. Turning to slide seven. This slide shows the cyclicality of our industry and how we have managed it. We want to emphasize our history of disciplined capital allocation regarding investments, buying ships during downturns where asset prices are depressed, or structuring deals such that downsides are limited and upsides are substantial. This also shows that it is at and near the bottom of cycles where the opportunities for outsized value are to be captured. I'll now pass the call to Tassos to discuss our financials.
Tassos Psaropoulos: Thank you, Tom. Slide eight shows our financial highlights for the first nine months of 2025. I would like to emphasize a few key takeaways. Earnings and cash flow are up compared to the first nine months of 2024. Our cash position is $562 million, of which $72 million is restricted. The remainder ensures that we can fully cover our covenants, work at capital needs, and manage the potential financial implications of geopolitical issues, which seem to be arising with increasing frequency and sharpness. It also provides dry powder both for CapEx to keep our existing fleet commercially relevant and for disciplined investments in fleet renewal if and when the right opportunities emerge. And, of course, importantly, it supports payment of our expanded dividend. Earlier this year, we completed an $85 million refinancing that pushed our weighted average maturity to 4.7 years and brought our blended cost of debt to 4.34%. We also realized a $28.3 million gain from the sale of three older vessels. Our strong credit ratings were affirmed. We have $33 million remaining under our opportunistic share buyback program, and we continue to delever and build equity value. Slide nine now shows our ongoing process to repeat the resilience, derisk our balance sheet, and grow equity value. The graph on the left shows our progress in reducing our outstanding debt. From $950 million at the end of 2022, we are on track to be under $700 million at the end of this year, even as we have acquired ships and put leverage on. The graph on the right is the more telling perspective as our financial leverage has reached 2.5 times. We have come a long way since the days of eight-plus times leverage. Slide 10, the left graph shows our cost of debt, which we have lowered to a blended 4.34%, down from over 6% in 2020. We have continually reduced our margin even as soft has risen materially. And the graph on the right shows our very competitive breakeven rates where interest rate reductions have more or less offset OpEx inflation. With that, I will turn the call back over to Tom to discuss the market and our fleet. Thanks, Tassos.
Thomas Lister: Slide 11 reiterates our emphasis on midsize and smaller container ships between 2,010 TEU. These vessels are the backbone of global trade, and not dependent upon any one trade or country, and are extremely flexible. This stands in contrast to the very big ships that tend to dominate the headlines in the media but which are more restricted in where they can go due to their size requiring specialized port infrastructure and deepwater, not to mention huge cargo volumes to fill them. This keeps the very big ships largely confined to the main lane trades between China and the U.S. or Northern Europe, which as I'll get to in a minute, have been disrupted in recent quarters. The flexibility our fleet offers is a key point that we reiterate because it matters a great deal, particularly in this current environment of heightened uncertainty and shifting trade patterns. Our fleet plays an increasingly vital role as trade routes and supply chains have become fragmented by a wide variety of factors that we'll discuss on the coming slides. On Slide 12, we break down the impact we've seen from the ongoing disruption in the Red Sea, prior to which approximately 20% of global containerized trade volumes transited that bottleneck. Since then, about 10% of effective capacity has been absorbed as ships have been forced to reroute around the Cape Of Good Hope, which in turn has driven up charter rates. While it is difficult to predict how long these particular conditions will last, we and the industry more broadly are looking to see a sustained period of safety and stability before transiting goods through there again, as seafarer safety is key. If and when the Red Sea does reopen for safe transit, there would be a period of costly and complex rerouting and reshaping of networks for the liner companies. This suggests that there will need to be a reasonably high industry-wide comfort level before we would expect to see large-scale rerouting via the Red Sea and Suez. But it's certainly something to keep an eye on. On Slide 13, we discuss tariffs and how 2019 under the first Trump administration could be instructive in how we might expect things to continue to play out moving forward. Following the 2019 tariffs, there was reduced trade between the U.S. and China, which had a negative impact on larger containerships used for those mainland trades. While as for midsized and smaller container ships, there was, perhaps counterintuitively, an uplift in demand following the tariffs. As trade routes shifted and more emphasis was placed on intra-Asian trades where midsized and smaller ships predominate. Regional trade volumes increased, the supply chain diversified, and midsized and smaller containerships were the beneficiaries. Put bluntly, if you're providing capacity to the containerized supply chain as we are, increased disruption, complexity, and inefficiency in the supply chain tends to be a good thing and supportive of earnings. Slide 14 is where we discuss the latest developments or non-developments, if you prefer, on the regulatory front. Namely, USTR Fees and the Reciprocal China port fees caused quite a lot of agitation, vessel redeployments, and uncertainty as the industry sorted out how to adjust. In the case of USTR, that played out with several months of forward notice, as the regulations which were announced in February modified in April and implemented in October. Meanwhile, in the China port fee situation, several months' worth of disruption and strategizing were forced into a memorable few days in October with measures announced on a Friday and implemented the following Tuesday. Even with both measures now apparently suspended after only negligible periods of enforcement, the industry was given yet another sharp reminder of the value of maintaining flexibility. Meanwhile, the long-anticipated net zero framework at the IMO, which had been due to be adopted in October, was deferred at the eleventh hour by one year. This deferral will likely extend the lives of older ships and lift the commercial relevance and earnings for conventionally fueled ships such as those in the Global Ship Lease, Inc. fleet. Our view has long been that in a period of pronounced regulatory uncertainty, there are clear advantages to investing in midlife tonnage and being smart followers when it comes to the adoption of new fuels and propulsion technologies. We cover supply-side dynamics and scrapping trends on Slide 15. As ships continue to transit around the Cape Of Good Hope, and supply chains remain both fragmented and subject to continuous reshuffling, idle capacity and scrapping levels have remained close to zero. In that context, scarcity value is real. And the liners continue to show an interest and, in fact, a need to charter in scarce tonnage in an uncertain freight environment as the risk of being short on capacity and the value of network optionality override concerns about fleet optimization and the maximization of efficiency. Slide 16 shows the order book. Here, we want to highlight that although the overall order book is meaningful and has grown over the past few years, the segments in which Global Ship Lease, Inc. focused are seeing far less growth. For ships over 10,000 TEU, a segment upon which Global Ship Lease, Inc. does not focus or participate, the order book to fleet ratio stands at 54%. However, this stands in sharp contrast to the 32% ratio for all containerships and even more so for the 15% order book to fleet ratio in the segments Global Ship Lease, Inc. does participate in, which are those between 2,010 TEU. Also, with the current order book, if we were to assume that all vessels over 25 years old were scrapped through 2029, which is how long it would take to deliver the current order book, the sub-ten thousand TEU fleet would actually shrink by over 5% in that time frame. While capacity remains tight, we will continue to lock in charter coverage at attractive rates. However, should the market normalize in the coming years, we would expect to see scrapping activity pick up sharply, meaningfully offsetting the impact of new vessels coming into the market in our size segments. Slide 17 shows the charter market against which I would remind you that our breakeven rate, including operating costs and debt service, is just over $9,100 per vessel per day. With the current market conditions, we have been locking in as much charter coverage as possible and now have forward visibility on €1.92 billion of contracted revenues over 2.5 years of coverage. Who knows how macro, geopolitical, and industry dynamics will develop going forward, but we're pleased to have built a stable platform in otherwise choppy seas. On that note, I will turn the call back to George on slide 18.
George Youroukos: Thank you, Tom. To summarize, our cash flows are strong, and we continue to build our charter backlog. With almost $2 billion of cover over two and a half years, 2025 fully contracted, marginal open days in 2026, and a significant slice of 2027 already covered. Even as there is a sigh of relief on the current suspension of USTR and China port fees, and some quarters for a deferral of the IMO net zero framework, uncertainty remains pronounced. We're maximizing optionality to manage risks and capitalize on opportunities. Less efficient and more fragmented supply chains are increasing demand for our fleet of flexible midsize and smaller container ships. We have strengthened our balance sheet and continue to amortize debt to build equity value and resilience through delevering. We have lowered our financial leverage, and our average break-even rates stand at just above $9,500 per day per vessel. And our credit ratings are in great shape. As the existing cash flows and cash cows begin to age out, we're focused on the disciplined and opportunistic renewal of our fleet to ensure that we have the right value-generating assets going forward. And as ever, we're proud of returning capital to shareholders through our dividend, which following the increase announced today stands at an annualized rate of $2.5 per common share, 67% above where it was just eighteen months ago. With that, we would be very pleased to take your questions.
Operator: And our first question comes from the line of Liam Burke with B. Riley Securities. Please go ahead.
Liam Dalton Burke: Thank you. Hi, George, Tom, Tassos. How are you today?
George Youroukos: We're well. Thanks, Liam. How are you?
Liam Dalton Burke: Fine. Thank you. It looks like freight rates have sort of bounced off the bottom from the third quarter and are inching up. Are you still seeing a healthy gap between freight rates and charter rates here?
Thomas Lister: Hi, Liam. Short answer, yes. Charter rates continue to move sideways at very healthy levels. So historically, I would say, really quite high and attractive levels. So despite the near-term volatility both up and down in the freight markets, the charter markets are staying steady.
Liam Dalton Burke: Great. And is there any appetite or how are you balancing rates versus duration when you're looking at either renewals or forward charters?
Thomas Lister: Look. We're conscious that these are strange and uncertain times. So, we continue to be focused on a sort of risk-averse basis on midterm and longer charters. And we're happy to take attractive economic rates on as long charters really as we're able to go at the moment. So for different sizes, that means probably sub 5,000 TEU. You're looking at a couple of years that you can fix for. And from, say, six or six and a half thousand TEU up, you're looking at maybe three and possibly even four years in some instances. And that would be our preference to lean into.
Liam Dalton Burke: Great. Thank you, Tom. Thank you, George.
George Youroukos: Our pleasure.
Operator: Again, to ask a question, simply press 1. And our next question comes from the line of Omar Nokta. Thank you.
Omar Mostafa Nokta: Hi, George, Tom, Tassos. Thanks for the update. Obviously, things are coming together quite nicely. Pretty solid quarter. You added a good amount of backlog despite all the uncertainty and the strange times that you're just referencing, Tom. Just kind of thinking about the fact that you were able to add so much backlog in the third quarter, $380 million, nearly half of what you did for or sorry, nearly half equal to what you did in the first half. Just want to get a sense from you. Is that on the back of a very sort of maybe active, fast-paced market on the part of charters? Or is it something unique to Global Ship Lease, Inc. that you were able to accomplish, maybe not necessarily representative of the broader market dynamics?
Thomas Lister: I mean, obviously, we'd take every opportunity to talk up our own book, Omar, but I would say that it's more representative of the market. And if you look back on 2025 year to date, the first quarter was very active. The second quarter was significantly disrupted by Liberation Day. So I would say a lot of chartering activity was effectively put on hold during the second quarter. And that came into the third quarter. So I think probably best to look back on the nine months as a whole as opposed to trying to read too much into individual quarters. But what I would say is that, in the face of an uncertain environment, and it just seems to get more uncertain every day, the lines see capacity as optionality. Particularly, you know, midsize and smaller container ships that can be moved around pretty much any trade. And we see, as a result, sustained demand for such tonnage, which is what explains the fact that charter rates in the broader market as well as within our fixtures remain at very attractive levels.
Omar Mostafa Nokta: Yeah. Thanks, Tom. Especially, it looks like, you know, for those older vessels we noticed in your fleet list, several of those ships that are in that 2,000, 2,001 built age range have now been extended for, say, three years. You know, those ships are going to be, call it, close to twenty-nine, maybe thirty years when those ships roll off charter. You think obviously, it's going to be a different market perhaps in three years' time, but as you think about what that market looks like, assuming it's still kind of the same, do you think their ships can continue to trade at twenty-nine, 30 years old, or is there an age limit you think for those ships?
George Youroukos: Yep. If I may take this, I will tell you. If the market was exactly the same as it was today, these ships will continue to trade. There's one big differentiation between containers and the other types of ships. There is no extra insurance on the cargo depending on the age of the ship. And why is that? Because container ships have the highest and best record of safety versus other types of ships. I mean, ships sinking or breaking into two, etcetera. The construction of the containers, because of the way they are loaded and discharged, in a direct way. You know, they have to slide the containers into the cargo hold from the gantry crane. They are super heavy in lightweight, hence, very strong, very well made. Then the fact that the cargo does not come into contact with the cargo hold, meaning it's just boxes that you stack up in, so you're not putting anything like oil that goes and touches the side of the ship, you know, the cargo hold or bulk cargo, which, again, you know, gets in contact with the surface of the cargo hold and deteriorates over time. Make container ships very strong, and hence, there is no extra insurance, which means that the ships can trade easily past the twenty-eight or twenty-nine years if the market is there.
Thomas Lister: And, Omar, just to sort of add yet more texture to that. I think, you know, the US Jones Act vessels that trade, in some instances into the sort of late thirties and occasionally into their forties, are evidence of the fact that technical obsolescence in the containership sector, if you put sort of fuel and propulsion issues to one side for a moment, is not an issue. So that dovetails with what George was just saying. So long story short, if there's economic need, the vessels will, quote unquote, live longer.
Omar Mostafa Nokta: Okay. Yeah. Thanks, Tom. Thanks, George. That's very helpful. And then maybe just as one final one, Tom, you were talking about the Red Sea. And there's obviously perhaps maybe a growing view that we'll start to see transit pick up again in the near future now that there's a peace deal in Gaza. Still, obviously, a lot of uncertainty there. But, just want to get a sense from you. Are you having discussions with your charters at the moment on how that will look? And is that how does that decision come about? Is that going to be an agreement that you make, or is it going to be them who force it down? How do you kind of think about the two sides of the ship?
Thomas Lister: Yeah. So first of all, no. It's not something which is currently under discussion. Secondly, it's a sort of multilateral decision that has to be taken because also beyond the charterers and the owners, there are also the insurers, not only of the vessels themselves but of the cargo. So it's a fairly complex web of folk that have to get comfortable with the idea of transiting. And the biggest concern is obviously that of seafarer safety. But I would say, if we go back to looking at the tonnage that was diverted away from the Red Sea and Suez and around the Cape Of Good Hope, it's predominantly the bigger ships, the larger ships, because it's those ships that are typically deployed on the Asia to Europe legs. So I would say that the opening or not of the Red Sea is something that will have a proportionally greater impact on bigger ships and less of an impact, which is not to say no impact for sure, but less of an impact on midsize and smaller ships which were not frequent transiters of the Red Sea and Suez in any case, even when, you know, it was a normal environment, up until 2023. So we'll have to see, but I think the dynamics remain comparatively supportive.
Omar Mostafa Nokta: Okay. Great. Thank you, Tom. Thanks, George. I'll pass it back.
George Youroukos: Our pleasure.
Operator: And with no further questions in queue, I will now hand the call back over to Thomas Lister for closing remarks.
Thomas Lister: Well, thank you all very much indeed for joining our 3Q call, and we look forward to reconnecting in the New Year, on the back of our 4Q earnings. Many thanks.
Operator: This does conclude today's conference call. You may now disconnect.